Operator: Good day, ladies and gentlemen, and welcome to the Q3 2013 Prestige Brands Holdings, Inc. Earnings Conference Call. My name is Darita, and I'll be your operator for today. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. I would like to turn the call over to Mr. Dean Siegal, the Director of Investor Relations. Please proceed, sir.
Dean Siegal: Good morning, and thanks for joining us this morning. As a reminder, there is a slide presentation which accompanies this call. It can be accessed by visiting prestigebrands.com, clicking on Investor Relations on the left, then on Webcasts & Presentations on the right. Today's presentation will be right at the top, #1. I'm required to remind you at this time that during this call, statements may be made by management of their beliefs and expectations as to the company's future operating results. Statements of management's expectations of what might occur with respect to future operating results are what is known as forward-looking statements. All forward-looking statements involve risks and uncertainties which, in many cases, are beyond the control of the company and may cause actual results to differ materially from management's expectations. You are cautioned not to place undue reliance on these forward-looking statements, which speak only of this date, of this conference call. A complete Safe Harbor disclosure appears on Page 2 of the presentation accompanying this call. Additional information concerning the factors that might cause actual results to differ materially from management's expectations is contained in the company's annual and quarterly reports, which is filed with the U.S. Securities and Exchange Commission. Before I introduce Matt Mannelly, our CEO; and Ron Lombardi, our CFO, I'd like to remind you that today, at be at about 5:15, between 5:15 and 5:45, if you watch CNBC, the program called Fast Money, you'll see our CEO, Matt Mannelly interviewed on our quarter. Now, I'd like to turn the call over to Matt and Ron Lombardi.
Matthew M. Mannelly: Good morning. Thank you, Dean, and thank you, everyone, for joining us this morning. We appreciate your time. Ron Lombardi, our CFO, is with me, and the agenda is on Page 3 of the presentation that Dean referenced earlier. I will start out and give some comments in terms of overall performance highlights. Ron will then take you through the financials. And then I will close it with some more closing comments, and we'll open it up for some Q&A from there. So with that, if you would turn to Slide 4. I believe you've seen this before, but just really to start out every presentation, we talk a little bit about our strategy and the key drivers for the company and how we create and deliver value today in moving forward for our shareholders. And for us, the strategies remain the same. The initiatives under the strategies may change, but the strategies remain the same over a long period of time. And our strategies have been, and will continue to be, to drive our core OTC growth, to leverage our financial profile, which Ron is going to talk to you a little bit about today, which really, we had an exceptional quarter as it relates to that, and to continue our aggressive and disciplined approach to M&A, and with that focus being exclusive in the OTC market. So with that, if you will turn to Slide 5, I'll talk a little bit about the highlights of the quarter, and I'd say, for starters, we're quite pleased and we feel we had an excellent financial performance for the quarter. Among the key measures include the fact that our third quarter revenue of $160 million is up over 50% from prior year. I think -- also, our adjusted earnings per share, which Ron will talk about, of $0.37, which is up 48% over last year. And then I think the numbers that are really outstanding, our record cash flow from operations of over $40 million for the quarter, you combine that with cash that we had on hand, as well as the sale of Phazyme, we paid down $83 million in debt this quarter, which is really quite a record for Prestige. As a result, our leverage ratio, our debt-to-EBITDA, which was 5.25 11 months ago when we purchased the GSK North America brands, is already down to 4.35, which is really exceptional. Other key highlights. From a brand-building standpoint, we continue to focus on our core OTC brands, and you can see our consumption growth continues to be very strong. And for our core OTC brands, our consumption growth for the latest quarter, the latest 12 weeks, is up 6.9%, and the categories in which those brands compete is up 3.2%. So we're almost 2x-ing category growth. Our core OTC organic revenue growth, when you combine the second and third quarters, it's up 4.8%, you're going to see cough/cold in terms of a shift in shipments to second quarter, and we'll go through that in the next couple of pages. The GSK brands, what I would say there is we have been very successful in terms of integrating the brands in this year. And at this point, we're really focusing our efforts around consumer efforts and some of the learning and preparing to set up for FY '14 investments on those brands, which we're very excited about. And then finally, as a result of the excellent performance for the quarter, we're going to take our full year adjusted EPS guidance up from $1.37 to $1.42, which we had raised last quarter, and we're going to take it up to $1.45 to $1.48 for the year. So we're quite pleased with that. So with that, if you'd move to Page 6. I think you've seen this page before. I'm going to talk first about shipments and then I'm going to talk about consumption. And you can see on a quarterly basis, and if you recall last quarter, questions were asked, your core OTC is up 11.3% for the quarter, and we said, "Well, it's never neat. It's always a timing type of thing." And you can see for the third quarter, our core OTC, the legacy brands, not the GSK brands year-over-year, but the legacy brands were down 1.2%. And that really is a result of, if you split it out into cough/cold and non-cough/cold. So I'll take you through that. You can see in the second quarter, our cough/cold brands were up 16.7% and our non-cough/cold were up 7.8% to get to a blended 11.3%. What that says is the trade was taking in inventory in preparation for the cough/cold season. So they did it in the second quarter. So you can see our non-cough/cold brands in the third quarter continue to be up 4.4%, while our cough/cold, after coming off at 16.7% quarter, was down 6.2%. So again, for a long enough time period, you can see second and third quarter combined when you look at cough/cold season, you'll see cough/cold brands up 3.2% and non-cough/cold up 6.3% for a 4.8% aggregate. So from a shipment standpoint, that shows, you in terms of cough/cold and non-cough/cold, what happens with the trade. If you turn to Page 7, you'll see the numbers that I just quoted on the left-hand side, in terms of cough/cold for second quarter, cough/cold for third quarter and then combined, as importantly, probably more importantly are the numbers on the right-hand side. So these are consumption numbers. This is what pulled off the shelf in each quarter. So on the second quarter, cough/cold brands you'll see listed there, from a consumption standpoint, were up 14.9%. In the third quarter, consumption was up 8.5%. So when you look at those 2 quarters combined, from a consumption standpoint, it's up 10.9%, and that's ultimately how we measure ourselves in terms of our consumers pulling our brands off the shelf. So with that, if you turn to Page 8, you'll see again the story that we've shown in the past that shows the total company, it shows our total over-the-counter business and it shows our core OTC business. Total company revenue, and again this is consumption, it's a consumption of all of our products, up 3% for the latest quarter, while the category is up 1.1%. Our over-the-counter brands up 3.8%, and the categories in which they compete up only 1.3%. And as I said previously, our core OTC up 6.9%, while the category is only growing 3.2%. So we are quite pleased in terms of the brand-building efforts and the marketing efforts continue to impact in terms of how the brands are being pulled off the shelf at retail. And Page 9 shows that as well in a different format. You can see what it means, how far we're outgrowing the category, the latest quarter, plus 3.7 points. And you can see that we're gaining market share in each quarter, and the latest quarter, 0.3 point in terms of market share gain. We're doing that among a number of brands, and on Slide 10, we show you Efferdent. And I think the key things I would point out are: It starts with bringing innovative product to the marketplace. And the new Efferdent Crystals product that had a very strong claim of kills 10x more odor-causing bacteria was a very powerful claim, so we decided to take that claim and put it on TV, and there had not been advertising in this category for a number of years. So we put significant television dollars behind the brand. We've also done things like displays in terms of a trial size units display that's now at retail. And you can see the results for the category and for our brand. The category, over the last quarter, is down 2.4%, while the Efferdent brand is up 3%. So we're clearly outdistancing the category again by over 2x. And you can see on the next Slide 11, how much of that Efferdent Crystals business has been incremental. So the red line is the base business, which is basically steady over the last year, all right? And over the last 9 months, since we introduced Efferdent Crystals. And you can see the Efferdent Crystals product has really been almost completely incremental to the brand. So that's what innovation does for you is bring incremental revenue to the brand. So we're quite pleased with the performance of Efferdent Crystals. Page 12 talks about -- on 13, talks about our Gaviscon product, which we have in our brand, a powerful brand for us in Canada. And as we said at the time of the acquisition, our Canadian business has doubled in size, and Gaviscon is our biggest brand in Canada. The brand has quite a bit of momentum. It's #1 in the category. You can see its consumption growth over the latest 52-week period, right? We don't get data as often in Canada as we do in the United States, but the latest data that we do have shows that consumption is up 8% and it's gained 8/10 of a share -- 0.8 points of market share over that time period. The next slide shows why. And the reasons are, we continue to put strong marketing support behind our lead brands. And in Canada, Gaviscon is one of our lead brands. So it can -- very compelling TV campaign in terms of for heartburn. Professional sampling. We're doing digital marketing and we have very strong performance in terms of merchandising at retail for the Gaviscon brand as well. With that, I'll turn it over to Ron who will take you through the financial highlights. And then we'll come back and wrap it up with a few comments and go to Q&A. Ron?
Ronald M. Lombardi: Thanks, Matt, and good morning, everyone. Our financial overview of the third quarter results appears on Slide 15. As a reminder, unless otherwise noted, the financial information we're discussing today excludes certain TSA, integration and other costs. Our reconciliation between reported results and the adjusted results can be found in schedules included in today's earnings release. We're extremely pleased with our excellent financial performance in the quarter. That includes strong gains in sales, earnings and cash flow. Our solid revenue and earnings growth continue to be driven by strong growth and share gains in our core OTC brands, solid performance from the GSK brands and strong growth in EBITDA and EPS that is consistent with revenue gains. We also realized a record cash flow from operations during the quarter, which allowed us to significantly de-lever and reduce debt by over $80 million during the quarter. I'll give you more detail on each of these in the next few slides. Turning to Slide 16, we have our Q3 results. Our excellent Q3 results continue to reflect a transformed financial profile. Our year-to-date sales are at a run rate in excess of $600 million annually, our gross margin has increased approximately 5 points over the prior year and our A&P investment level is almost 15% of sales. For the third quarter, our net revenues increased approximately 51% over the prior year to just over $160 million during the quarter. We continue to realize strong growth and share gains in our legacy core OTC brands, with sales growth of almost 5% during the combined Q2, Q3 period. Cough/cold shipments seasoned today are off to a strong start, up 3% over the prior year for the combined Q2-Q3 period. As Matt discussed on Slide 6, we saw a shift in cough/cold timing into Q2 this year as compared to Q2-Q3 last year. Our non-cough/cold legacy brands moved fairly consistently each quarter, with a gain of approximately 8% in Q2 and approximately 5% in Q3. The acquired GSK brands performed very well in the quarter and were generally in line with our expectations, adding approximately $57 million of revenue during the quarter over the prior year. Our Q3 gross margins increased significantly over the prior year to 55.4%, due to our increase in OTC sales to approximately 85% of total sales. Q3's results include seasonal cough/cold promotional and merchandising support, which was in line with expectations. Consistent with our strategy to grow core OTC, we increased A&P spending almost 55% over the prior year's level during the quarter. The increase was due to the addition of the acquired brand, as well as increased support behind our legacy core OTC brands. These investments are effectively driving increased sales, consumption gains, and drive value creation through increased earnings and cash flow. G&A as a percent of sales declined over 1 full point to 7.1% of sales from last year's levels, reflecting the leverage of higher sales. Our adjusted EBITDA, net income and EPS all increased significantly during the quarter over the prior year's level. Revenue increases and EBITDA margin gains resulted in an increase of approximately $7 million in adjusted net income to $19.3 million during the quarter, an increase of 54.2% over the prior year, and adjusted EPS grew to $0.37 during the quarter, an increase of 50% and $0.12 over the prior year's level of $0.25. Turning to Slide 17, we have our year-to-date results. Our year-to-date results reflect the same trends and financial profile that we realized in Q3. Our year-to-date net revenues have increased approximately 53% over the prior year to $470 million. Our non-core legacy OTC brands have increased 4.5% over the prior year, which is well ahead of category growth. Our total legacy business has realized organic growth of almost 1% on a year-to-date basis. And the acquired GSK brands have added $160 million of revenue year-to-date. Gross margins at 56.5% are well ahead of prior year's level, but consistent with expectations. A&P investment continues to fuel sales growth and has increased 1.7 points and approximately 75% over last year's levels to 14.3% of sales as we continue to invest behind our 14 core OTC brands to drive long-term top and bottom line growth. Our adjusted EBITDA, net income and EPS have all increased significantly due to the increase in sales and gross margin. EBITDA outpaced sales growth and has increased approximately 75% to $164 million year-to-date. Adjusted net income has increased 57% to $58.5 million, and EPS increased $0.40 to $1.14, which is 54% above last year's level of $0.74. Moving to Slide 18, we have a reconciliation of reported net income and EPS to adjusted results. As a reminder, our earnings release contains a full set of disclosures about our non-GAAP financials. Reported results for Q3 and year-to-date include GSK transition and integration costs, and increased amortization of deferred financing costs related to our accelerated loan payments. Adjusted EPS excludes these items, which impacted Q3 by $0.13 and year-to-date by $0.24. We incurred approximately $4 million of GSK integration costs in Q3, as expected. We recognized approximately $8 million of incremental, non-cash, deferred financing amortization during the quarter, as a result of the accelerated paydown of our term loan. We have repaid in excess of $190 million in the 11 months since the GSK acquisition. We expect the quarterly amortization for these costs to be approximately $2 million per quarter in Q4 and in fiscal '14. Turning to Slide 19. We have a summary of cash flow for the quarter and year-to-date. Prestige's enhanced financial profile of high EBITDA margins and significant tax attributes allowed it to generate record cash flow from operations during the quarter. The business generated $40.5 million of cash flow from operations during the quarter, which was an increase of approximately $27 million above the prior year's level. On a year-to-date basis, we had generated over $100 million of cash flow from operations, which is an increase of well over 100% and $53 million over the prior year's level. Cash flow has been driven by both strong EBITDA margins and reduced working capital. December's net balance -- net debt balance, was approximately $997 million and our debt to covenant-defined EBITDA ratio was less than 4.35x. Our strong cash flow has allowed us to quickly de- lever and has reduced our leverage ratio by almost 1 full point in less than 12 months. We expect cash from operations to be in excess of $120 million for the full year and continue to expect capital additions of approximately $10 million related to our new headquarters and ERP upgrade, with most of the spending completed through the end of the third quarter. Finally, we anticipate refinancing our term loan beginning today and completing the transaction by mid-February. Credit markets have been very robust and we anticipate the opportunity to meaningfully lower our interest rate. At this point, I'd like to turn the discussion back over to Matt.
Matthew M. Mannelly: Thank you, Ron. I'll just -- a couple of comments that I'll make and then we'll open it up for some Q&A. If you turn to Slide 21. Again, I think you've seen this slide before, it highlights a couple of things today that I think are particularly relevant. On the financial profile, hopefully in the results, what Ron had to say, you can see that the financial profile of the company is exceptional and has never been stronger. And when we look at our cash flow generation and what it allows us to do in terms of paying down debt, it's really exceptional, and this was a tremendous quarter for us. And you also heard from Ron at the very end, the fact that we're going out today and we'll be refinancing and we'll be strengthening that financial profile even more. The second thing I would just reiterate as I have in the past is, I think we have the right strategies, but you can have great strategies, but you've got to have great people. And for us, we're a company of 125 employees and it's the 125 people in this company that make it happen and the passion that they have for the business is why we had continued success. So with that, Page 22 -- Slide 22, I think this has been a topic that's been discussed recently, so I thought we'd include it since everyone seems to be talking about it. But recent seasonal flu incident levels. As a result of the flu incident levels, I think we're cautiously optimistic for the remainder of our fiscal year. I would point out a couple of things. If you look at this chart, the blue line is this year, 2012 and '13. And if you look at this from same flu data, it shows that at the beginning of the season, September-October, we were running slightly ahead of previous year, then you get into November, we're actually running a little behind last year and the year before, and then it's really late December and January where it takes off. So this is where the manufacturers and the retailers have a slightly different timeline. So the retailers are starting to get the benefit of that in December, and you've seen that in the results that came out recently. As you saw from us, from a shipment standpoint in the second quarter, our cough/cold business was very strong as the retailers anticipated a solid season. And with the strong consumption and incidence level that's going on in December and January, as I've said, we're cautiously optimistic for the remainder of the fiscal year. So with that, if you'll turn to Slide 23, please. Just a couple of comments about the outlook for the remainder of the year. First, we're very pleased to be raising guidance and taking it from $1.37 million to $1.42 million and raising it to $1.45 million, to $1.48 million. That guidance also includes the fact that we sold Phazyme, which was diluted to the tune of $0.01 a share and the revenue that has gone with that. It also includes a $0.01 per share benefit associated with the refinancing that Ron is talking about, and does not incur -- include any of the one-time financing charges associated with that. In terms of the fourth quarter highlights, from a revenue standpoint, as I said, we believe we're well-positioned to benefit from the strong cough/cold sell in the merchandising and the current incident levels, and we're set up to do that. From a marketing standpoint, we continue to emphasize that the second half of the year is when we increase our support behind the brands. And we've done that this year, which is why we believe we are well-positioned and cautiously optimistic about the fourth quarter. And then finally, in terms of the refinancing, it helps us take advantage of a favorable financial markets, and it's going to strengthen our profile even more. And then I think the last line, which we've used in the past is really particularly relevant today. And that is, for us, this is the strategic course that we're on is a marathon, not a sprint. And that's why we look at it in terms of building the brands over the long-term. And you can see in the beginning in terms of cough/cold shipments, how they may vary from quarter-to-quarter, but over the course of the season, they're going in the right direction, both from a shipment standpoint and, in particular, from a consumption standpoint. So we're quite pleased with that and we're pleased with the strategic course that we're on. Slide 24. Again, this is a slide that we typically close with that talks about how we're delivering against those strategies. And you can see our consumption, in terms of driving that core OTC growth, up 6.9% in the latest quarter versus the category of 3.2%. And you can see our support for the business, our support in terms of A&P for the third quarter almost 20% A&P-to-sales ratio. So we really are focused on building brands and we're quite pleased and quite proud of that. The second bucket is really where we really had an all-star quarter. And with over $40 million in cash flow from operations it was an exceptional quarter. Ron talked about we're now taking that up to over $120 million target for the full-year, and as a result, already year-to-date, we've paid down a significant amount of debt that Ron talked about, almost $200 million for the year, and we're down to a 4.35x debt-to-EBITDA coverage. And we continue to be focused and disciplined in terms of OTC M&A moving forward, and we're quite optimistic about it over the long-term. So with that, I thank you, and we'll now turn it over to questions.
Operator: [Operator Instructions] Your first question comes from the line of Joe Altobello from Oppenheimer.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: Just a couple of quick ones. I guess, first, let me start out with a housekeeping item. You mentioned that the refi you expect to be about $0.01 accretive for the 45 days between mid-February and end of March. So back in the envelope, you're looking at about $0.08 of annualized accretion from that. Is that correct?
Ronald M. Lombardi: No, Joe. I think the way to look at it is we have approximately $475 million out on our term loan, and we've seen similar repricing in the marketplace with 1 to 1.25 point savings. So we would expect, using 1%, to save between $2.5 million and $3 million of cash in higher net income next year.
Matthew M. Mannelly: Because we're paying down debt, we're going to have less debt that we'll be capturing that against.
Ronald M. Lombardi: Right. It's not on the full debt levels, just on the term loan.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: Okay, okay, understood. Secondly, in terms of next year, the acquired GSK brands you mentioned did very well in the quarter. And starting with next year, they will be or a lot of them will be in your sort of core OTC base, and you guys talked about organic growth. So could you give us a sense for the type of organic growth you're seeing from those brands? And then maybe what you would expect from those acquired GSK brand next year, given you'll have a full year of the innovation and marketing programs you guys are talking about.
Matthew M. Mannelly: Joe, I think the numbers we're seeing from the GSK brands on a pro forma basis year-over-year, even though we haven't owned them for a full year yet, are very similar to our other core OTC brands. And as it relates to '14, as I've said previously, we've done a lot of the internal homework in '13 for some of those brands, because remember, it's a marathon, not a sprint. We're learning about the brands and the consumers. We're doing a lot of quantitative and qualitative consumer research. We have significant A&P dollars that we intend to put behind some of those key GSK brands, including BC and Goody's, 2 in particular, that we'll talk more about in future quarters, and we would expect continued robust growth of those core brands, similar to what we're experiencing right now, which is similar to our other core OTC brands.
Operator: Your next question comes from John San Marco from Janney Capital Markets.
John P. San Marco - Janney Montgomery Scott LLC, Research Division: My question is on gross margin, down 160 bps sequentially quarter-over-quarter. That surprised me a little. And on the press release, I guess you attribute it to promotional and merchandising levels. I guess, one, did it surprise you at all? And two, when do you expect those promotional levels to win?
Ronald M. Lombardi: John, Ron Lombardi here. John, we have some seasonality in our gross margins, both from cough/cold mix, which tends to have a slightly lower gross margin than our average, as well as timing of promotional and merchandising events. So the third quarter was in line with what we anticipated and expected for the quarter.
Matthew M. Mannelly: John, I'll also add that, yes, we've talked about this. Our gross margin has increased over 500 bps this year or almost 500 bps. First half, it was about 57. For the year, were going to come in at a 56-plus gross margin, which we're quite pleased with. And we had said, and we still support the fact that long-term, we expect to get to a 57 gross margin on an ongoing basis. And so we're tracking right on, if not slightly ahead of, where we thought we would be from a gross margin standpoint 9 to 12 months ago.
John P. San Marco - Janney Montgomery Scott LLC, Research Division: Okay. That's helpful. And then focusing on cough/cold, I was a little surprised it was up 3% for this season given the consumption growth, and also thank you for the incident data that you guys shared at the end of the presentation. I guess, do you foresee shipments catching up to consumption as the flu season ends? Is there's some catch-up shipping to do and do you think you'll do that this cough/cold season or next cough/cold season?
Matthew M. Mannelly: Well, John, having been in this type of business before, whether it's cough/cold or the Gatorade business, which I was in years ago, when you're dependent on something like this. It's interesting, the reason we put the incident level out there was it's not like cough/cold has been -- influenza had been rampant the entire season. It's really mid- to late-December through January that it has picked up. So you're seeing that at retail mid- to late December through January. So if you -- you would have to be somewhat optimistic that with that pickup in terms of consumer pull in mid- to late December into January, that you would be hopeful that reorders would be coming in the fourth quarter, yes.
John P. San Marco - Janney Montgomery Scott LLC, Research Division: Got it. Do you have a view on what retailer inventories look like? Call it, relative to normal as of the end of the quarter?
Matthew M. Mannelly: Yes. As you can see in the beginning of the quarter, they were heavy because they also [indiscernible] at the end of Q2 in advance to cough/cold, but they since they've been working those down, so I think inventory late December was at normal levels and there was not any excess inventory out there at retail. Does that answer your question?
John P. San Marco - Janney Montgomery Scott LLC, Research Division: That's helpful. And then just with respect to the -- in this presentation, you put 11% consumption growth for cough/cold for the combined 2-quarter period. How would that compare to what your categories did, in cough/cold specifically?
Matthew M. Mannelly: It should be in there, John. We were at 11 -- for cough/cold, it showed that combined -- well, that's on Slide 6 that's showing that shipments combined were up 3.2% on cough/cold. On 7, it shows combined consumption. Ours was 10.9%. I'm sorry, what you're asking is the category, I believe.
John P. San Marco - Janney Montgomery Scott LLC, Research Division: Yes.
Matthew M. Mannelly: And the category, I would expect to be up -- actually I'll have to get you those numbers, but the category is up less than 10.9%. Significantly less, I can tell you that.
Matthew M. Mannelly: Okay. Great. That's what I was hoping to get to.
Operator: Your next question comes from Jon Andersen from William Blair.
Jon Andersen - William Blair & Company L.L.C., Research Division: I just wanted to start with a little follow up, I guess, to Joe's question on the GSK brands. So those, it sounds like, are tracking in line with the other core OTC brand growth, which is quite strong. But with more A&P coming in 2014 behind those brands, would it be fair to assume perhaps we could see an acceleration in the organic growth rate, that part of the portfolio?
Matthew M. Mannelly: Well, I think, John, as we've said in the past, our strategy is to build the core brands long-term. So what we've done, whether it's with the Blacksmith Brands that we bought a couple of years ago or Dramamine that we bought a year ago, the first year or 2, when we first by the brands, we do all the required [ph] research, understand the consumer, our positioning, what's relevant, what's compelling. It takes several months to do that, then we'd turn on the support, and when you turn on the support, you expect some growth, but it's not like it's turning on a light switch and it all comes in right away. So we expect solid growth on those brands with the increased investment in '14. What we're really doing is to build the base for '15 and '16. Does that answer your question?
Jon Andersen - William Blair & Company L.L.C., Research Division: Yes, it does. That's helpful. I had a question on advertising and promotion. It looks like -- obviously on an absolute basis the change in advertising and promotion spending was significant. When I kind of back out the brand contribution from GSK and the gross profit contribution from GSK, it looks like the advertising and promotion spending was maybe down year-over-year on the base business, on an absolute basis. I was wondering if I was thinking about that right, and if that just reflects maybe some de-emphasis of the household portion of the business?
Matthew M. Mannelly: John, our A&P on our legacy business was actually year-over-year up slightly, all right? So I know it's hard with all the numbers, but on our base business, we continue to invest, and our A&P spending was actually up slightly over prior year.
Jon Andersen - William Blair & Company L.L.C., Research Division: Okay, that's helpful. In terms of gross margins, Matt, did I hear you say that you kind of have a -- your long-term target for gross margins is 57%?
Matthew M. Mannelly: Well, we had said that in the past, John. If you remember, this did come up a few calls ago when we bought GSK that we said that our long-term goal was to get to 57%. And then, pre-cough/cold season, we hit it right out of the gate with some brands, but we are going to end the year, like I said, at 56% plus, which is up from 51% a year ago. And so we are moving towards gross margin expansion and we would expect over '14 and '15 that we would be heading towards 57%.
Jon Andersen - William Blair & Company L.L.C., Research Division: Okay. That's helpful. How about operating margin? Have you talked about an objective longer term or within than same time frame for operating margins within the business?
Matthew M. Mannelly: John, we haven't talked and given any guidance on that, specifically. I think what we have said is we're in the brand-building business, we want to set the right foundation now and in '14 with these acquired brands for the long-term. So it's about doing the right thing for the long-term and not trying to squeeze the most operating margin in the short-term. Does that help you?
Jon Andersen - William Blair & Company L.L.C., Research Division: Yes, that make sense. Just a last question. On the refi, and maybe for Ron, how much will that refinancing help in 2014 just as we think about our estimates? That will be helpful.
Ronald M. Lombardi: Yes, as I mentioned earlier, we would anticipate saving $2.5 million in cash and improved net income next year.
Operator: Your next question comes from Carla Casella from JPMorgan.
Carla Casella - JP Morgan Chase & Co, Research Division: I was wondering if you could give us any color on performance in math versus drug versus supermarket? And are there any particular channel where you're doing better or worse with new products or where you have more opportunities?
Matthew M. Mannelly: Carla, I'd say that performance, it ebbs and flows across the channel. So as we know, in this economy, the last 24 to 36 months in particular, the dollar channel has been particularly strong. And as you know, prior to the last few quarters, Walmart probably was not performing at the rate it would like, but has since picked up consistently in the last 3 quarters. And math is now doing quite well, and the drug channel, which had been doing exceptionally well, has maybe slowed a little bit, all right? So that's a little bit of what's going on in terms of each of the key channels. And I think our performance, what we'd like is we've got a diversified portfolio and we've got a diversified channel mix that allows us to smooth out across a number of channels to see -- to manage the portfolio, and it works quite well for us. So we're pursuing opportunities in all those channels, and the growth in general right now is steady, if not spectacular.
Carla Casella - JP Morgan Chase & Co, Research Division: And then how much -- what's your exposure to dollar stores?
Matthew M. Mannelly: I'm sorry, say it again, please, Carla.
Carla Casella - JP Morgan Chase & Co, Research Division: What's your exposure to dollar stores? Is that a significant part of sales yet?
Matthew M. Mannelly: Dollar stores represent about 11% of our revenue, I believe. 10% to 11%.
Operator: Your next question comes from Karru Martinson from Deutsche Bank.
Karru Martinson - Deutsche Bank AG, Research Division: When you look at the kind of the market share gains that you're getting here, who do you feel that this market share is coming from? I mean, is it more coming from the private label? Is it coming from the remaining bigger players in the market? Or is it really just expanding the category itself in terms of shelf?
Matthew M. Mannelly: Well, I think it's primarily coming from -- it's really primarily coming from the competition, and that competition could be large pharma companies, it could be small independent companies. I think it's coming from those people more than it's coming from private label. Although, as we've said in the past, private label is like a pendulum that'll gain momentum, then it loses momentum. And I think it has significant momentum 12 to 24 months ago, and that has not slowed. But I think it's primarily coming from those other branded competitors, is where we're gaining share.
Karru Martinson - Deutsche Bank AG, Research Division: Okay. And in terms of shelf space, there's been kind of an ebb and flow in the drugstore channel to add and take away shelf. I mean, what's kind of the current dynamic there?
Matthew M. Mannelly: Well I think the current dynamic is, from a branded standpoint, I think if you step back, all the retailers, their #1 priority is foot traffic first, and basket size. But if you don't get foot traffic, you can't grow retail. And I think what the retailers appreciate is branded -- strong branded products like ours that bring significant consumer advertising and spending, marketing spend, which as you know our marketing spend 3 years ago were 10% of sales, and today it's approaching 15%. So in a rather lackluster economy, we've increased our market spend rate by 50%. Retailers appreciate that because that drives foot traffic into their doors. And so I think that's why they appreciate branded, and our branded products.
Karru Martinson - Deutsche Bank AG, Research Division: Okay. And given the strong growth that you've been experiencing, do you foresee a need to add G&A to kind of continue that? Or do you feel that the operation you have here is -- continues to be scalable?
Matthew M. Mannelly: Well, I think, 2 things. Number one, we've proven, when you look at our G&A numbers with the acquisitions, that we get significant synergies, and our acquisitions provide us great opportunities on that front. I think the G&A that we need to add with future acquisitions is more about what do we need to be great in the future, not what do we need for today. So we're constantly thinking in terms of what is it we need to do to be successful and to be a billion-dollar-plus company? What do we need to be successful in 3 to 5 years and what are the resources we should start planning today to do that? So that's where I think we need to add, from a G&A standpoint, not to support the existing portfolio.
Karru Martinson - Deutsche Bank AG, Research Division: Okay. And I guess in that vein, you guys talked about an active pipeline of M&A. I mean, what are you seeing in terms of kind of just the size of opportunities out there? Are we talking about one-off bolt-ons? Or larger, more transformative acquisitions?
Matthew M. Mannelly: Well, I think you can see in the marketplace there has been significant M&A activity in the last quarter again. So I think there continues to be opportunities out there and we continue to be a player in that market.
Operator: Your next question comes from Frank Camma from Sidoti.
Frank A. Camma - Sidoti & Company, LLC: Most of my questions were answered, but I did have 2 quick ones, if I could. The first is just could you remind us, and I think you gave a little detail on this on your view on the A&P spend for the rest of the year? I think historically your 2 largest quarters are your second and third largest quarter, if I have that right, and then it kind of backs off in the fourth quarter. Would that be consistent this year?
Matthew M. Mannelly: I think our A&P spend typically in the third and fourth quarter is up, and we would expect that again this year.
Ronald M. Lombardi: Right, right. And this year, with a full quarter of GSK in the numbers, in the fourth quarter we'll have a little bit of a different trend than prior years without the impact of the acquisitions.
Frank A. Camma - Sidoti & Company, LLC: Okay, great. So I had that -- okay. And the second question is, I know you don't really focus on it much anymore, but the household cleaning revenues were flat, which is obviously a pretty marked improvement. Could you just go into why that would be?
Matthew M. Mannelly: Well, I think, what we're seeing, Frank, is some of the things that we've done with household. We introduced kind of 2x a few quarters ago. We've seen success with that in the marketplace. And as a result that's helped from a revenue and a profitability standpoint, both us and the retailer. So it's been successful on a couple of different fronts.
Frank A. Camma - Sidoti & Company, LLC: Do you think the category itself may actually be stabilizing? Or do you think it's really kind of the innovation that you put out there that's helping it?
Matthew M. Mannelly: I think it's the innovation. I don't -- I think that continues to be a value-driven category. And in the current economic scenario, I don't see that changing.
Operator: Your next question comes from Reza Vahabzadeh from Barclays.
Reza Vahabzadeh - Barclays Capital, Research Division: On the consumption growth in OTC as well as the cough/cold products, obviously pretty healthy trends. Is it driven primarily by just higher cough/cold incidents? Or is there -- are you getting better velocity from existing shelf space, your shelf space? And is there some contribution from additional shelf space and distribution doors?
Matthew M. Mannelly: Yes. I think it's from -- some of it is from cough/cold incidents, but remember what I said. In the consumption numbers, those consumption numbers are through 12/31, all right? So that includes the last few weeks of December where you remember incidence levels really ticked up, but that's only in the last part of the quarter. So some of it is coming from consumption. I think the bulk of our gains are really coming from increased velocity in terms of better merchandising performance and also stronger consumer takeaway as a result of marketing spend that's effective in driving people to shelves.
Reza Vahabzadeh - Barclays Capital, Research Division: Got it. And as far as the additional velocity and shelf space, how does that impact your numbers in calendar 2013? Is that going to be a carryover impact as you lap prior year numbers?
Matthew M. Mannelly: I'm not sure I understand the question. Can you repeat it or state it slightly differently so I can answer it for you?
Reza Vahabzadeh - Barclays Capital, Research Division: Right. So obviously you're getting better velocity and it sounds like you're getting some additional shelf space. So does that present an easy year-over-year comparison for you as you lap prior year numbers in 2013?
Matthew M. Mannelly: No. I think quite the opposite to your point. If you look at Slide 9 in the presentation, that shows consumption, all right, over the last, I guess, 9 or 10 quarters there. When you look at how we've outperformed the category, every quarter it gets harder because we're lapping strong numbers. So that's really what makes of the performance, in my mind, one of the things that makes it exceptional right now, because we're lapping very strong numbers. So, candidly, we're just setting the bar higher for ourselves next year and it's going to be a tough comp that we're going to have to work hard to beat.
Reza Vahabzadeh - Barclays Capital, Research Division: Right. And I'm not sure if you've talked about this already or not, but your competitor in cough/cold, are they back? Will they be back? Any color on that?
Matthew M. Mannelly: We don't have any concrete information, we just hear things just like other people do. And as a result, what we've tried to so is focus on our cough/cold brands, increasing our marketing support, improving our connection with the consumers and with the retailers, so when they do come back, we've got a very solid foundation.
Operator: Ladies and gentlemen, [Operator Instructions] Your next question comes from the line of Jon Andersen from William Blair.
Jon Andersen - William Blair & Company L.L.C., Research Division: I was just wondering, is there any reason that free cash flow in fiscal '14 wouldn't be as strong as you're seeing in 2013?
Ronald M. Lombardi: We would expect fiscal '14 cash flow to be as strong as what we saw in '13. There isn't any onetime events in '13 excluding the sale of Phazyme that wouldn't reoccur in '14.
Matthew M. Mannelly: For a cash flow from operations.
Ronald M. Lombardi: Cash flow from operations.
Matthew M. Mannelly: So cash flow from operations we would expect to be as strong, right?
Jon Andersen - William Blair & Company L.L.C., Research Division: Absolutely. And then just -- I know you probably don't want to talk specifically about '14, but just in light of the new guidance for 2013, at $1.45 to $1.48, the -- if you look at the benefit of the refi, the debt paydown that you can do over the next 12 months, and if you get a little bit of growth out of the base business, I mean it would, like -- a number next year would be closer to $1.65 on top of $1.48 this year. Is that a reasonable way to think about 2014 at this point?
Matthew M. Mannelly: Jon, I think we're getting a little ahead of ourselves, but 2 comments. I mean, you talked about the refi, right, and what that can bring to it. But the other thing that you didn't mention was a couple of things. Number one, a major competitor will be back in the marketplace, so that has implications, right? And the second thing that we've said in the past is '14 is going to be the year that we're really going to focus on investing in the businesses, especially those GSK businesses that we bought to set ourselves up for '15 and '16. So we're trying to do the right things for the long-term, and '14 will also be a year that we'll deal with a major competitor coming back, and so I think you got to take both those into consideration as well. Does that answer it?
Jon Andersen - William Blair & Company L.L.C., Research Division: Yes, fair enough. That's helpful.
Operator: I would now like to turn the call over to Mr. Mannelly for closing remarks. Please go ahead.
Matthew M. Mannelly: Again, thank you very much to everyone for joining us this morning. We appreciate it. We look forward to seeing you at future conferences and speaking with you on the next quarterly call. Have a very good day.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today's conference call. This concludes your presentation. You may now disconnect and have a good day. Thank you.